Operator: Good day and welcome to the TriMas Second Quarter 2017 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Sherry Lauderback. Please go ahead.
Sherry Lauderback: Thank you and welcome to the TriMas Corporation second quarter 2017 earnings call. Participating on the call today are Tom Amato, TirMas’ President and CEO and Bob Zalupski our Chief Financial Officer. Tom and Bob will review our second quarter results as well as provide an update on our 2017 outlook. After our prepared remarks, we will open the call up for your questions. In order to assist with the review of our results, we have included the press release and PowerPoint presentation on our company website, www.trimascorp.com under the Investors section. In addition, a replay of this call will be available later today by calling 888-203-1112 with a replay code of 8148183. Before we get started, I would like to remind everyone that our comments today, which are intended to supplement your understanding of TriMas, may contain forward-looking statements that are inherently subject to a number of risks and uncertainties. Please refer to our Form 10-K for a list of factors that could cause our results to differ from those anticipated in any such forward-looking statements. Also, we undertake no obligation to publicly update or revise any forward-looking statements except as required by law. We would also direct your attention to our website where considerably more information maybe found. I would also like to refer you to the appendix in our press release issued this morning or included as part of this presentation, which is available on our website for the reconciliations between GAAP and non-GAAP financial measures used during this conference call. Today, the discussion on the call regarding our financial results will be on an excluded special items basis. At this point, I would like to turn the call over to Tom Amato, TriMas’ President and CEO. Tom?
Tom Amato: Good morning and thank you, Sherry. As we look back in our second quarter, we are pleased with our performance as well as our progress for the first step of the year. The introduction of our new TriMas business model and accelerated realignment efforts have started to provide tangible results. This is mainly the case in our aerospace and energy segments, where operating teams have worked diligently to take sweeping actions to lift the performance of these businesses. In addition to the actions we took in these two segments, we continue to focus on taking important steps to help drive long-term growth opportunities within our packaging and engineered component segments. We are also pleased with our continued cash flow conversion in the quarter and year-to-date. Our operating model provides a platform for robust discussions on improving cash flow. For example, in addition to operating under clear key performance indicators, our operating leadership team receives net debt positions daily. This approach and level of engagement allows us to discuss investments in our businesses, not just capital expenditures, but also drivers to net working capital such as inventory levels all to drive improved results. Although we are only midway through summer, we have already begun the strategic planning process for 2018. While we remain focused on achieving our 2017 plan, we also want to be sure to maintain the momentum of unleashing value at TriMas into next year. In fact, internally we referenced TriMas 2020 as our mantra for ensuring we have long-range divisional strategies that are compelling and value creating for TriMas in our investors. While we have started this process last planning cycle, we expect to build upon it in the upcoming period. As we move forward, our operating team is keenly focused on achieving our 2017 plan. While we hope our end markets continue to cooperate, if changes occur as I have noted on prior calls, we will proactively implement countermeasures to protect our plan. Therefore, we are reaffirming our guidance for 2017. Turning to Slide 6, a summary of our second quarter performance is highlighted in this slide. We achieved $213 million of net sales, a 4.9% increase over the same period last year and this was despite our decision to deemphasize certain geographic regions and the impact of weaker foreign currencies versus the dollar. Normalizing for these effects, sales would have been up nearly 7% driven largely by production throughput improvements in our aerospace segment, market stabilization and throughput improvements in our energy segment and growth in Asia and Europe in our packaging segment. Bob will discuss this more in a few slides. Operating profit was $30.3 million or 2% of sales, up $4.6 million as compared to the prior year. Corresponding EBITDA for the quarter was just over 19% of sales and earnings per share, was $0.40, up 17.6% compared to the same period a year ago. As noted at the end of the first quarter, while we are pleased with our start to the year, we have much more work to do to achieve our 2017 plan and our longer term performance targets. Turning to Slide 7. As mentioned, we had another solid quarter of cash conversion, which we used to reduce our net debt position. We have reduced net debt by $58.8 million as compared to the same period last year and by $30 million as compared to the end of last year. Through debt reduction and improved earnings performance, we reduced our leverage ratio to 2.3 times, 0.5 turn better than where we were 1 year ago. Our cash and available liquidity is also solid at nearly $200 million, a significant improvement over the same period last year. At TriMas, we believe that our focus and attention on cash flow conversion, which is a key component of the TriMas business model provides an additional pathway to drive value to our equity holders. Turning to Slide 8. As a recap to our year-to-date performance, it is much of the same given our solid performance in the most recent few quarters. Net sales were up 1.7% on a year-to-date basis despite currency in deemphasized geographic regions. Normalizing for these effects, sales would have been up approximately 4% year-to-date. Operating profit was $54.2 million, up $6.7 million or 14.1% and EPS was $0.70 per share, up $0.09 or 14.8%. Free cash flow, despite slightly higher capital expenditures in this period, was $41.5 million year-to-date, an increase of $13.2 million. Now, I will turn the call over to Bob who will take us through segment performance. Bob?
Bob Zalupski: Thank you, Tom and good morning. As Sherry noted earlier, all of my comments today will be on an excluding special items basis. I will begin my comments with a review of our packaging segment’s performance on Slide 10. Second quarter net sales were $89 million, an increase of approximately 1% compared to the prior year period impacted by approximately $1.5 million of unfavorable currency exchange. We achieved higher sales levels overall in each of our principal end markets of health, beauty and home care, food and beverage and industrial with particular strength in both Europe and Asia due to continued growth with several of our significant multinational customers. The stronger sales in Europe and Asia have helped offset softer sales in certain segments of the U.S. market, primarily in health, beauty and home care. Given this uncertainty in the U.S. market, we have slightly tempered our sales outlook for the second half of the year in this segment. Packaging continued to generate strong operating margins reporting Q2 operating profit of $21.5 million and operating margin of more than 24%. Overall, packaging is largely on track with its full year operating profit plan despite expected sales softness in certain segments of the U.S. market due to tight cost management and better productivity. We continue to invest in new products and sales initiatives to drive sustainable long-term growth in this business. Turning to Slide 11, in our aerospace segment, second quarter net sales increased approximately $3.5 million or 8% to $48 million driven primarily by increased production throughput as well as solid order demand. We continue to see more stable order patterns from our customers and are optimistic that more consistent demand levels will translate into further opportunity for increased manufacturing efficiencies and additional operating leverage as we progress through the year. Operating profit of $7 million was an approximate $2 million improvement compared to the year ago period. We reported an operating profit margin of more than 14% in second quarter versus approximately 11% in the same period a year ago in first quarter 2017. The 320 basis point increase year-over-year is primarily due to operational improvement actions within our complex fastener operations, which drove higher sales levels. However, the benefits of these improvements were partially offset by off standard production costs related to our standard fastener product line. We continue to focus on reducing past due orders and improving manufacturing throughput to capitalize on solid order intake, while reducing off standard costs. Although we have achieved significant progress year-to-date, there is still more work to do primarily in our machine components and standard fastener operations. Moving on to Slide 12, sales in our energy segment increased nearly 9% compared to the year ago period to $43.5 million. Sales increased by more than $5 million in North America as our share capture of the spring turnaround activity was higher than we originally expected. We were able to capitalize on increased customer demand, because of increased manufacturing efficiencies and improved delivery performance. The sales improvement more than offset lower sales related to deemphasizing less profitable geographic regions of approximately $2 million. Our realignment actions and productivity initiatives have driven significant year-over-year performance improvement. We increased operating profit by $2.2 million and improved operating margin by 470 basis points to 9.2% versus Q2 2016. During the quarter, energy is the only segment with special items, which consisted primarily of costs related to exiting our production facility in Reynosa, Mexico. While we are pleased with this performance improvement today, we remain focused on additional opportunities to enhance profitability of our energy segment. Turning to Slide 13, engineered components, overall second quarter sales increased $2.4 million or approximately 8% to $33.6 million when compared to the prior year period. Sales of oilfield engines and compression products increased by approximately $1.7 million as we experienced improve demand levels compared with the prior year consistent with increased oil and gas well completion activity in the U.S. Sales of our industrial cylinders also increased slightly due to greater demand for large high-pressure gas cylinders in the quarter. Q2 operating profit increased $0.9 million to $4.7 million resulting in an operating profit margin of 14%, an increase of 160 basis points compared to Q2 2016. Continued tight cost management and flexing of each businesses cost structure as well as incremental demand positively affected profitability. Our focus remains on managing the cost structure of each of these businesses in response to end market demand and we expect any additional increase in sales volume to leverage well. Turning to Slide 14, in summary, we experienced the solid quarter of sales growth at 4.9% compared to the second quarter 2016 achieving growth in all four segments. We increased segment operating profit $4.5 million to $37 million or 17.4% of sales, an improvement of 130 basis points. Our accelerated realignment actions and continuous improvement initiatives, most notably in the energy and aerospace segments, are driving increased operational and financial performance. With the first two quarters behind us, we are pleased with our performance year-to-date and remain committed to achieving our 2017 full year operating plan. I will now turn the call back to Tom to discuss our full year outlook and to wrap up. Tom?
Tom Amato: Thank you, Bob. Turning to Slide 16. As noted earlier, we are reaffirming our full year guidance. We set a financial plan that included significant self help initiatives was based on driving shareholder value and we are very pleased to be delivering on that plan. Turning to Slide 17, our immediate focus remains in taking actions that continue to improve the performance of our energy and aerospace segments, while ensuring we have strategic plans in place for long-term value creation for each of our businesses. We will continue to operate under a modeled gear to generate exceptional cash flow and drive towards returns above our cost of capital. Our use of cash priorities, are clear. Our highest priority is to invest in product and process innovation and capabilities within our businesses. Currently, we are investing a large majority of our 2017 capital expenditures into our packaging segment as we support projects that improve our processes, allow us to service our customers globally and shore up our product pipeline for future long-term growth. Next, as we generate cash above reinvestment in our businesses, we will then seek to reduce net debt of de-leveraged TriMas with a guiding target of less than 2 times. Ultimately, we will pursue bolt-on acquisitions to augment our highest value proposition businesses as well as assess available treasury options to provide value to our shareholders. To wrap up, I remain excited about TriMas’ future and believe there are many opportunities for sales and earnings expansion and cash flow conversion. I am pleased with our start to the year and look forward to continuing our momentum well into the future. Thank you and we will now turn it back over to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions] We will take our first question from [indiscernible] with Jefferies.
Unidentified Analyst: Good morning, guys.
Tom Amato: Hello, Rupinder [ph].
Unidentified Analyst: So my question was around if you can talk about pricing within your portfolio, the sales have been about 5% talking about organic sales growth within all the four segments. Can you give some color on the pricing side of the equation? Thanks.
Tom Amato: Rupinder, can you give us a little bit more color in the question, I am not sure what you are asking.
Unidentified Analyst: Well, I am talking about the volumes have been pretty nice here especially if you just take the example of aerospace, you talked about 8% growth here. I think you mentioned about improvement in the production throughput and the customer demand, that 8%, was that all volume, was there any pricing especially on the packaging side which where I think pricing is much more prominent. That’s what I was trying to get to?
Tom Amato: I think, look, there is puts and takes in pricings with each of our customer end markets across segments. And I would tell you that pricing wasn’t what drove the increases year-over-year. It’s higher demand and in good throughput. So, we are encouraged by the end market demand we are seeing across the businesses. And there are few soft spots as we mentioned relative to certain segments or certain portions of our U.S. market and packaging, but in the main we are very encouraged.
Unidentified Analyst: Okay. So, just going back to the aerospace question, 8% growth you talked about, could you parse out like how much of that growth was driven by just the customer demand versus the improvement in your production throughput here?
Tom Amato: Yes, I don’t think – I mean, look I think our guidance for the year is 4% to 6% overall. I think the reason you see a higher growth rate in the second quarter is again a year ago we had some production throughput issues. Those have been corrected with the operational actions that we have taken and we were able to deliver on the demand that exists within that business and in contrast to a year ago, where we struggled to do that. So, we would expect the second half of the year to be less significant in the way of year-over-year growth, because we had started to work out of some of those production problems in the back half of last year. And again, we are sort of maintaining our guidance for the full year growth in that segment of 4% to 6%.
Unidentified Analyst: Okay. And lastly on inflation I have seen actually and heard from most of the companies talking about how steel prices out there kind of indications out there were actually inch higher, I don’t know if you have any thoughts around that raw material of the commodity input slightly seeing some inflationary pressure like in the second half and what your thoughts?
Tom Amato: We are not seeing anything that in the second half that we can comment on. What we have seen in the first half has been a pretty comfortable result for us in terms of our material purchase cost.
Unidentified Analyst: Okay, got it. Thank you.
Operator: We will take our next question from Matt Koranda with ROTH Capital.
Matt Koranda: Hi, guys.
Tom Amato: Good morning, Matt.
Matt Koranda: Good morning. In terms of packaging, just wanted to cover margins look slightly down year-over-year just by kind of a touch of revenue growth and I think FX adjusted would have been a little better. Was it mix that sort of drove that lower? Could you just comment on and give us a little color there?
Tom Amato: I mean, the level that they are down is almost immaterial. I would say that relative to our expectations for this year, they are performing quite consistent despite as I mentioned earlier some sales softness with certain customers in North America. So in that sense, I think we expect them to be able to deliver on their full year operating profit plan given even slightly maybe less sales than anticipated, but still better than a year ago.
Matt Koranda: Got it. And maybe just a little more color there as well, I mean, the growth outlook I think shows, it implies maybe 1% to 2% growth in the back half of the year or actually, yes, roughly low single-digit there. So – and you mentioned I think specifically North America was driving some of the softness in what was it home beauty and healthcare. Could you just give us a little bit more color on what’s going on in that particular market?
Tom Amato: Yes, I mean, it’s pretty broad based across the Americas. What has been positive for us is we have seen other regions pickup in Asia and Europe that help mitigate that. So, I think overall just in the particular customers and segments we are in within our product line, various product lines, there was just some general softness in the Americas.
Matt Koranda: Okay, got it. Maybe one more on aerospace from me, I think the revenue guide implies essentially sequentially flat revenues for the second half relative to Q2, but it looks like we are also expecting a pickup in operating margins in that segment. So is that still just a function of the throughput improvements that you are making and taking additional costs out of the production base or maybe a little bit of help on that front in terms of what’s driving the guidance there?
Tom Amato: That’s exactly it. We have a number of self-help initiatives with respect to our aerospace and our energy segment that still need to come through. We are going to have that through the balance of the year and our expectation is into next year.
Matt Koranda: Okay. Thanks, guys. I will jump back in queue.
Tom Amato: Thank you.
Bob Zalupski: Thank you.
Operator: We’ll take our next question from Steve Barger with KeyBanc Capital Markets.
Ken Newman: Hey, good morning guys. This is Ken Newman.
Tom Amato: Hi, Steve.
Ken Newman: Good morning. So, I wanted to jump back to the U.S. packaging sales, you did mention that it was generally softer in the U.S. and I guess I just want to get some more color, this wasn’t specifically a specific customer that dropped out, it’s more broad-based. Is that fair?
Tom Amato: We referenced back in first quarter where we have seen some softness with a couple of key customers in North America. And while we don’t expect that to be a long-term kind of an impact, we did anticipate that there would be some quarterly effects to us that obviously would spillover into the full year. So, that’s really the softness that I am referring to. And I think the good news was in that business that sales in Europe and Asia were stronger than we anticipated which help to offset some of that anticipated weakness.
Ken Newman: Sure. I guess as a follow-on to that, could you kind of give some color as to what’s driving stronger sales internationally versus in the U.S.?
Tom Amato: I think on an international basis we have talked in prior calls, Steve about our projects with multinational customers and the ramp of those projects. And the pace of the ramp is always difficult to predict, but I think what we are starting to see is some traction with some of those programs that we anticipated and are coming to fruition.
Bob Zalupski: Right. And as we have mentioned, we have made some investments in our global innovation centers and we are seeing a nice amount of very robust level of quoting activity globally. And our expectation is that over time that will payoff in the long run. So we are very pleased with the growth that we have seen overall in the packaging segment and we will take it whatever region it will come in.
Ken Newman: Got it. And then one more question, you maintained your top line guidance of 2% to 4% year-to-date I think you are running at 1.7 and I am just trying to figure out how do you see the other segments improving as you try to reach your guidance?
Tom Amato: As I mentioned a bit earlier, we do think that packaging will be down a little bit from where we originally guided somewhere like 1% to 2% full year. Aerospace is pretty much where we expected them to be and we continue forecasting – continue to forecast them to be in that 4% to 6% range. I think maybe the change is the benefit of the growth in energy in first half. We see that perhaps as a little less negative than we did at the start of the year, so maybe down 2% to flat for the year. And then I think the other piece of potential opportunity exists with engineered components, but at this juncture, we are sort of holding to the guidance we have put out at the beginning of the year.
Ken Newman: Thanks.
Tom Amato: Thank you.
Operator: We’ll go to Andy Casey with Wells Fargo.
Unidentified Analyst: This is George [indiscernible] on for Andy.
Tom Amato: Hi George.
Bob Zalupski: Hi George.
Unidentified Analyst: Good morning. Great quarter on the margin performance. I am really intrigued by what you said in terms of packaging on improving processes, global expansion, product pipeline. Are you – are we talking about maybe making CapEx investments to go into other white spaces, are we talking about improving the core. Can you kind of describe the strategy there?
Bob Zalupski: Very good question. And it’s a bit of all the above certainly, we are investing with our core products and seeking to expand them through exist – taking our current customers and bringing that products that perhaps we sell in other areas and to other customers through current customers or further penetration of our existing base. But then we are looking at new innovative products that we can bring to our customer base to address some of the needs they may have around the world, where we are seeing for example, in the area of e-commerce. We are seeing the need for different type of closure technology to support how our customers deliver their liquids to their customers. And we are very active in this area. There is also the area of security, how do our – how could we help our customers ensure that the products that they ship to their customers are indeed the products that they expect to be in that container. So we are doing a lot of work in this area, that’s just naming a few, there is also areas in the – of sustainability and recyclability where we are working on. So a lot of exciting technologies that we believe will pave the way for the future for our packaging segment. Those are areas that we are investing in terms of R&D and then also we will plan to invest in terms of supporting the production.
Unidentified Analyst: I guess and then just one follow-up with that, what are the geographies that you feel like these are – these investments are more strongly linked to or do you feel like they are crosscutting?
Tom Amato: Well, it’s – in some cases it is different geographies depending on the particular needed technology. I think we talked a few calls ago about some of the developing countries and the push that some of our larger customers are doing to promote hygiene in those areas. So the promotion is there, that needs the population will start to more, more buy these types of products, so we might have some inordinate amount of growth. To support those customers in those regions that might be perhaps other than the Western part of the world. But it is different for different technologies. And that’s why our global breadth of the packaging segment is such an important value driver to TriMas, because we can support our customers anywhere in the world.
Unidentified Analyst: Alright. Thank you. Good luck with the rest of the year.
Tom Amato: Thank you.
Bob Zalupski: Thank you
Operator: Your next question comes from Steve Tusa with JPMorgan.
Rajat Gupta: Good morning, guys. This is Rajat on for Steve. Just a question on your energy margin, I mean 2Q obviously pretty solid, but the guidance call for a little bit of a slowing in the second half, just trying to see if this is just conservatism or were there any things like mix or anything like that that benefited 2Q or this is just kind of the new normal seasonality we should expect going forward for that business. And also I mean re all the benefit – are all the benefits from your improvement plan at a run rate now for the energy business or there is still more improvement opportunity there?
Tom Amato: Well, let me take those questions in reverse order. We expect that we have as I mentioned a number of self-help initiatives underway and our expectation is that over time and into ‘18 that we are going to continue improve in the energy segment, that’s something that we are working on quite frequently. Regarding your question on top line look the energy business for us is pretty short cycle. We were pretty pleased with our year-to-date performance. And we think, when we looked at turnaround activity, we didn’t really see the activity predominantly in the U.S. we are talking about, on a macro basis tick up. That being said, we felt we got a reasonable share perhaps even more than we had hoped for share of that turnaround activity, which is good. Looking forward, tough for us to make a fantastic prediction on that front, so we put forward what essentially was in our plan and if we do better that’s great, that’s upside. But we don’t really have the visibility to those orders yet and that activity yet because of the short cycle nature of that business.
Rajat Gupta: Right. When the margins go, I mean it looks like you are calling for like 7% to 8% in the second half versus the 9% in 2Q, is that just normal seasonality or if revenues coming there is some upside there?
Bob Zalupski: Now, we think the margins can tick up a little bit, again as we take sort of the – the experience we had in the spring turnaround season and in meeting that influx of orders and how can we more efficiently and more profitably convert those kinds – same kinds of orders in the second half of the year. So you think there is a little bit of upside there margin wise.
Rajat Gupta: Got it. Just one more, just on the restructuring, I mean it’s excluded out of your free cash and EPS guidance as of now, but it’s ultimately, it’s a bit of a drag on your actual free cash flow, so I am just wondering like how much more restructuring do you think you have in the tank business for second half and beyond and I am just trying – just curious if this is more of an ongoing level and would you consider including this into your earnings and free cash guide going forward?
Tom Amato: Let me take that and Bob can correct if I make a mistake. But I think most of Q2 was non-cash correct, in terms of the charges, okay. Look my intent going forward, our intent going forward is to eliminate those charges certainly if there is any type of step that we have to take we will bring that forward that might be the case where we bring up, but we are making excellent progress on a year-over-year basis in terms of eliminating where restructuring charges are and where they hit. I think there is a number of our businesses that have to had to overcome a high hurdle, to turn themselves around and in fact I think that’s an area where our operating teams at least for me get a lot of credit, because they didn’t started – they didn’t start at one level, they actually started with a little bit behind the starting line. So when you look at a year-over-year basis even on a GAAP level, it’s even more fantastic than where it is on a non-recurring basis.
Rajat Gupta: Understood. Just lastly on aerospace, I mean could you – I mean you are still on your path towards the improvement plan here, but what is your sense of just normalized margins for this segment once you are done with all low hanging fruit you have, I mean I think you said in an – at investor conference recently that it’s probably not going to go back to prior peak, but is high teens or you know like 3% kind of like the level this can go to by ‘18 or ‘19 or I mean just trying to understand, just by eliminating the low hanging fruit, I mean how – where do you think the margins should be for this segment currently?
Tom Amato: Look it wouldn’t be a robust earnings conversation, if we didn’t get this questions, so I m glad that it came out. But I think what we need to do is give us time we when we go and present our forecast for 2018, I think you are going to start to see something that is tighter around a normalized run rate. One thing that – that I think we have mentioned before in calls and in conferences is that we do have a characteristic within this business now that is machine components that does tend to drag down margin vis-à-vis some of our highly engineered fastener businesses and that’s because of the material content is so high. So on a machine component we have a very high purchase cost, you might take some metal off of the part through the machining operations and then you ship to the customer. And that – by virtue of that sort of characteristic of generating the sale it tends to come with the lower margin, so. And it’s going to up to as we as we put forward 2018 it would disaggregate a bit for our investors to help them see some of the beautiful aspects of our fastener business that reside within our aerospace segment.
Rajat Gupta: Understood, great. Thanks a lot.
Tom Amato: Thank you.
Operator: Our next question comes from Walter Liptak with Seaport Global.
Tom Amato: Hi, Walt.
Walter Liptak: Hi, good morning. I want to ask just a follow-on is to the 2018 comments, how much benefit do you think you are getting this quarter from the self-help programs from the cost cutting versus the easy comp with last year and it’s probably a difficult one to answer, so maybe just – is there a rough percentage basis?
Bob Zalupski: It’s the big, it’s a large part is our turnaround activities we took, look when you look at the drivers to the year-over-year performance, you will see they are largely in the areas where much of the self-help activity has been. And when I came aboard to the company which tomorrow will be my 1 year anniversary, we said as a team that we are going to follow – dig in, follow – go to where the problems were, tackle those problems and that was a good investment of our time, because is we are seeing it come through in terms of our overall performance, that’s good. Now, going forward, those opportunities tend to tighten up when you fix things they get better run rate. We saw there is some work to do. But now we are looking at 2018 and how do we get lift off from here. So that’s where we are going to focus the balance of this year and into ‘18.
Walter Liptak: Okay, that sounds great. I should [indiscernible] by saying congratulations on the first year and good work on the profit margins.
Tom Amato: Thank you very much.
Walter Liptak: So I am trying to understand how much cost cutting or the self-help will impact the second half as well or do we still have a run rate of self-help off an improvement for the back half of the year?
Tom Amato: Look we put forward a plan that was built on trimming around some of our businesses. And that’s in our guidance, it’s in our forecast, it’s in our plan. So is there upside to it, look I would like to think there is always upside and we have some – we have some macroeconomic aspects to many of the segments that we are in that we would like to see play out. We talked about defense and aerospace and we are all spending there. We talked about infrastructure spending in the U.S. at the government level we could start to see some additional funds free up there that that has some long range implications we believe for particularly our north business in our engineered components. So a number of opportunities that could exist on a macro scale that as we get TriMas positioned well on a self-help basis if those things start to take off then that’s really for me a second or third derivative for the company.
Walter Liptak: Okay. Have you chosen sort of the 2018 process that you guys like using a business system or something like that? And as 2018 plan develops, I wonder where you think you can get margins for the company overall?
Tom Amato: Well, I think we had started last year adapting sort of a hybrid of the TriMas approach to business planning and what I have used in the past before coming to the company. And in this year we hope to hone it further which is a blast [ph] process, it is deeply based on having solid compelling plans, well thought out, back based data driven, looks at customer performance. Many of the aspects that you would expect to see and in some branded models out there but we just don’t have it branded.
Walter Liptak: Okay, alright, fair enough. Maybe just to get into one of the segments, engineer components segment you called out the Arrow pumpjack engine business, I wonder what was the peak revenue for Arrow and what are we troughing at now and just trying to get an idea of the pent up demand or kind of the market opportunity as oil and gas markets recovering?
Tom Amato: I mean peak demand in that business was kind of approaching $100 million. And we are considerably less than that at this juncture. We see improved coding activity for those products. Well, we are still not seeing what I would call high demand of orders I mean certainly the volume is up year-over-year, but certainly nothing approaching what it was going back to ‘13 or ‘14. But I would also add that that product area for us is under 5% of our sales, actually 3% of our sales. So look, its incumbent upon us to make sure that whatever size plant or plants we have within TriMas are running well. We will do that, but we are not banking on that to drive our future, that happens, that’s all upside.
Walter Liptak: Okay, great. And maybe just a quick last one you called out capital allocation and potential share repurchase I wonder if you were to do share repurchase what kind of capital you want to put forth?
Bob Zalupski: We have a program that’s authorized to spend up to $50 million, Walt. We have not executed on any share repurchases to-date.
Walter Liptak: Okay, great. Thank you very much.
Tom Amato: Thank you.
Operator: [Operator Instructions] We will take our next question from Sam Eisner with Goldman Sachs.
Sam Eisner: Yes. Good morning.
Tom Amato: Good morning Sam.
Bob Zalupski: Good morning Sam.
Sam Eisner: Good morning. So following on with some of those prior comments or questions, 1 year into the job now I think 364 days from when it was announced, if you snap the line, are you ahead of schedule, behind schedule when you look across the portfolio is everything core kind of giving the opportunity to talk a little bit about the medium-term here just given I think you have been in the business for a while and so it would be nice to get something little bit more mute on the bottom by thinking about the medium-term expectations for this business?
Tom Amato: Well, sure. Look I appreciate the question. I am pretty pleased with where we are at this point. It takes a lot of hard work and I can’t emphasize that enough. The amount of activity that that the TriMas and our business operating leadership teams are doing around the world is pretty fantastic. And they should be commended and we do that often to let them know. But there is still a lot to do and that’s what’s fun about this process, what’s exciting about this process is as you clear that first wave sort of clear through the brush, get stabilize, you start to see additional opportunities and then you can drive them further. So I think we are sitting here 1 year later, we are happy that some of the issues that were plaguing the company 1 year ago are under control. But we are looking at our business saying well, we have a great business here, we have some great brands, we have got some great leaders and leadership team and people that are running our plans, where can we take it from here, how can we improve more. And I am pretty pleased, ahead of where I expected to be behind I don’t know, when I came in I just knew there was an issue I want to roll up my sleeves and get it done. I am happy with where we are right now. But I am not – I think this is just a start.
Sam Eisner: You tackled the question about whether or not anything is or everything is core?
Tom Amato: Look I have addressed this before, it’s incumbent upon us to set some guidelines as to what performance levels we expect for each of our businesses. We have talked a bit about that in the past. As we go through our 2018 planning process if we can’t see a pathway to get to that, then to get to those performance levels and certainly that’s going to be one indicator, not the only indicator. One indicator and some of the decisions we have to take. But as you could see almost across the board we are seeing some good movements in all of our business. And total company we are generating a fair amount of cash. I would like the fact that we can stand here in front of our investors today at the TriMas level and talk about the cash we provided to our – cash conversion we have provided to essentially to our shareholders through our performance. That’s the great start and that’s we need to do. I think below that what we invest and we will continue to invest in that’s going to be a little bit of a longer term process and it’s going to dovetail into our strategic planning process towards the end of this year and into next year.
Sam Eisner: That’s helpful. So maybe jumping into aerospace, I think if you look across the aerospace supply chain, certainly Boeing is squeezing a lot of their suppliers, you have seen that in Boeing on right now, obviously Boeing is making pretty good money despite potentially being towards the peak of their cycle, when you look at the impact on your business that weak performance that you have seen in your business over the last 2 years plus, 3 years, do you think that some of that partnered for success and the kind of the pressure on the supply chain has kind of already been felt by you guys, whereas maybe some other supplies are now starting to see it, just curious on the time and mechanism there and do you think that were kind of through the worst of it?
Tom Amato: It’s a bit of a challenging question for us to answer and let me try to come at it this way that was widely publicized and certainly businesses felt the impact of it and certainly our business felt the impact of changes – systemic changes not only at the OEM level, but also at the distributor level. But what hit our business particularly hard was some self-inflicted wounds and how we adapted to some of those changes. That is what we are working through. And what I believe is starting to occur is by virtue of our performance and clearly our customers at the point of shipment and point of sale are recognizing that performance that, that will start to lead and perhaps is starting to lead to some inordinate share pickup for us now. There are some very long lead times in the types of products that we sell and that’s just typical. That is no different than what existed before. But what we are continuing to see which I am very pleased with is a incoming new orders or order backlog that is robust and we are talking to a number of customers about additional qualifications on some innovative products within our aerospace segment. So, now we are branching or line further and we have the ability to supply not only highly engineered fasteners, temporary fasteners, but also rivets and some standard fasteners. So, we have a whole family of fasteners that we can supply and penetrate existing customers with. So, it’s important for us to drive qualifications across our current customer base. And that’s what we are seeing. So, probably a long answer to say, yes, those factors are out there, but we believe we are positioned well to overcome them because of the characteristics of our business.
Sam Eisner: Got it. Maybe just one last one, just on that aero margin I think first half of the year you guys were a little bit below the midpoint of your guidance, I think you are little bit south of 13% in order to hit the midpoint of that guidance range, you need to do closer to 15% basically above the high-end of the guidance range. You feel comfortable with setting that up, I mean it’s definitely an uptick from what you reported in the second quarter. I just want to make sure that whatever you guys see in terms of operating performance you feel comfortable with the way that you kind of faced the year?
Tom Amato: Yes. I think at present Sam, the trajectory of our performance in the first half is consistent with what we expected and we don’t see that changing as we evaluate second half versus our original plan. So, we are comfortable with the performance in that business and that 13% to 15% full year guidance is certainly achievable.
Sam Eisner: Thanks so much.
Operator: We have no further questions in queue at this time. I would like to turn the call back over to Tom for any closing or additional remarks.
Tom Amato: Thank you. We would like to thank everyone for participating on the call this morning and we look forward to updating next quarter. Thanks, everyone.
Bob Zalupski: Thank you.
Operator: This does conclude today’s call. Thank you for participation. You may now disconnect.